Operator: Good day and welcome to today’s program. [Operator Instructions]. Please note this call is being recorded for replaying purposes and may not be reproduced in whole or in part with the written authorization from Logitech. I would now like to introduce your host for today’s call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company’s financial results for the fourth quarter and full fiscal year ended March 31, 2016. The press release, our prepared remarks, and slides as well as a live webcast of this call are available online at Logitech.com. As noted in our press release, we published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments today and they will not be read on this call. During the course of this call, we may make forward-looking statements, including forward-looking statements with respect to future operating results that are being made under the Safe Harbor and the Securities Litigation Reform Act of 1995. The forward- looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated June 5, 2015 and subsequent filings. The company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on both a GAAP and a non-GAAP basis. Non-GAAP reporting is provided to help you better understand our business. However, non-GAAP financial results are not meant to be considered in isolation or as a substitute for or superior to GAAP results. Non-GAAP measures have inherent limitations and should be used only in conjunction with Logitech’s consolidated financial statements prepared in accordance with GAAP. Our press release includes a table detailing the non-GAAP measures, together with the corresponding GAAP numbers and a reconciliation to GAAP. This information is also posted on our Investor Relations website. The slides that accompany this call are also available on our Investor Relations website. We encourage listeners to review these items. Unless noted otherwise, comparisons between periods are year over year and in constant currency and all reported results and updated outlook are focused on continuing operations and do not include the performance of Lifesize, which is now reported under discontinued operations. This call is being recorded and will be available for replay on the Logitech website. Joining us today from Zurich are Bracken Darrell, President and Chief Executive Officer, and Vincent Pilette, Chief Financial Officer. I’ll now turn the call over to Bracken.
Bracken Darrell: Thank you, Joe. And thanks to all of you for joining us today. We grew 9% in fiscal year 2016, the high end of our latest range, and delivered 20% more profit than we expected at the beginning of the year. And again, better than our latest increased guidance. Our 9% sales growth was more than twice the rate of the prior year and our best growth in five years. We grew in every region of the world with growing categories representing more than 80% of our sales. We gained share in nearly every category through meaningful innovation and strong execution. We continue to make progress transforming Logitech into a design-centric growth company. That’s not bad, but I believe you’re only beginning to see what Logitech is capable of. One distinguishing characteristic of the Logitech we’re creating is the strength and resilience that comes from our portfolio strategy. Our Q4 results demonstrate this well. In spite of the Q4 decline of our mobile speakers business which drove substantial growth over prior quarters, our Q4 sales went up and we reached the high end of our latest yearly revenue target. It was one of the key messages from our latest analyst day, all of our product categories have growth potential. Therefore, as most will be up and some will be down, we’ll sustain our growth over time. In Q4 we more than offset the impact of a weak quarter in mobile speakers with strong growth in video collaboration and gaming as well as in our core PC peripheral categories and in tablet accessories. We have a strong and balanced portfolio that will deliver sustainable growth. That resilience also exists at a regional level. Q4 sales in the Americas were down but that didn’t prevent us from reaching our growth targets as the decline was more than offset thanks to the powerful growth from the other two regions. We delivered strong double digit growth in EMEA and Asia-Pacific with accelerating growth in EMEA for the last three quarters and its strongest growth in the last three years. And in Asia-Pacific it was our fifth straight quarter of double digit growth. Looking into our product categories, gaming delivered strong growth in Q4. For fiscal year 2016, our gaming sales grew by 23%. Within the gaming category, our strongest growth in Q4 and for the year was in keyboards with roughly 60% growth for the year. We further strengthened our keyboard lineup during the quarter with the launch of two new mechanical gaming keyboards, the G610 Orion Brown and the G610 Orion Red. And we announced our best gaming mouse ever and perhaps our best ever in the company’s history, the G900 Chaos Spectrum. It breaks several rules gamers have come to live by. They believe wireless mice were slower than wired mice because of the lag time. This new professional grade wireless game mouse is faster than any other mouse, wired or wireless. They fear that wireless mice might have a short battery life but this has strong, long battery life that’s trusted by professional e-sports gamers. And it’s beautiful. It’s an amazing product at an impressive price, $150. Video collaboration accelerated, delivering the best growth for the quarter and the year with fiscal year 2016 sales up by 51%. During the quarter we launched Logitech GROUP, the transformation in team collaboration that provides high-quality HD video conferencing for groups of up to 20 and works with the video conferencing apps you already use. We also announced ConferenceCam kit with Intel NUC video conferencing system, a complete solution for conference rooms. Configured and validated by Logitech and Intel, the ConferenceCam kit is compatible with virtually all PC-based cloud services. Our solution video enables a small meeting room at an affordable price point and does not require users to bring their own computers to start a video call. Most significantly, Microsoft selected Logitech as strategic partner for Project Rigel, an initiative designed to bring a Skype meeting experience to any room with a display or projector. Our ConferenceCams will be certified for use with Project Rigel systems and we’ll deliver an affordable purpose-built smart dock to seamlessly connect the system elements in a meeting room. Stay tuned for more later. While our mobile speaker sales declined in Q4, they were up by 37% in fiscal year 2016 and we gained share. The decline in Q4 reflects several factors. The comparable to the prior year was challenging as in the prior year we shipped our highest priced speaker offering, UE Megaboom. In addition, during Q4 as the overall market growth slowed particularly in Americas, we aligned our sales run rate with the expectation of slower market growth continuing during fiscal year 2017. That said, as we stated at last month’s analyst and investor day, we expect to deliver growth in this category in fiscal year 2017. We’re excited about our acquisition of Jaybird, a leader in wireless audio wearables for sports and active lifestyles which closed just last week. This acquisition meets all of our criteria for a small tuck-in acquisition. It helps us address the fast-growing wireless audio wearables market with all the advantages of Jaybird’s strong brand and sports expertise. It leverages our combined audio engineering and design capabilities and it takes advantage of our global distribution footprint. With both Ultimate Ears and Jaybird brands now in our portfolio, we’re expanding our long-term growth potential in the music market. Both pointing devices and keyboards achieved growth for the quarter and the full year, significantly outpacing the declining market for new PC shipments. Remember what we said at analyst and investor day, users aren’t using their PCs less. In fact, they’re using them more since 2010. So, the slower the PC sales are, the older the PC is on your desk and a good mouse or keyboard can renew that experience a bit. This quarter we gained roughly 2 points of share in both categories through a combination of strong execution and innovation. This was the fourth year in a row that we grew our keyboard sales. PC webcams delivered growth of 27% in Q4, the best growth in over nine years and a 7% growth for the year. While we don’t expect to sustain this level of growth as it was largely driven by a B2B deal, this is a category that we believe will present opportunities for profitable growth ahead. There is still a market out there for people who want to enhance their video calling experience using our best of breed webcams as well as the growing segment of video bloggers and video gamers broadcasting themselves. Our tablet and other accessories category returned to life in Q4 with sales growth of 21%, the first growth for the category in over two years. This growth was driven by the success of CREATE, our well-received keyboard for the large iPad Pro. We’re not planning for consistent growth in this category but we will continue to bring innovative offerings to the market. Now Vincent will go into more details on our performance.
Vincent Pilette: Thanks, Bracken. I’m very pleased by our Q4 and full year performance. Bracken told you that we delivered 9% growth, the best in five years. But this is also the third year of accelerating growth. This growth is enabled by an innovative and diverse portfolio and the diversity of our portfolio excited us and I believe should excite you as well as an investor. It enables us to grow with the consistency we have now demonstrated. This growth is also enabled by strong execution and it shows in our P&L. Our Q4 gross margin was 33.1% up 90 basis points over the prior year and in line with the last couple of quarters. Our non-GAAP gross margin for full year was 33.9%, down 140 basis points due to the impact of currency headwinds. We were able to offset more than half of this currency driven impact through strategic pricing actions and our ongoing product and manufacturing cost efficiencies. Our long-term target gross margin of over 35% remains unchanged and we will progressively move into the 35% plus band as we progress through FY17 as mentioned at the last analyst and investor day. On the operating expense front, we continue to demonstrate disciplined spend management. Our FY16 non-GAAP operating expenses were down for the third consecutive year and reached the lowest level in the last six years. At just 25% of sales, the lowest level since fiscal 2009, this level of OpEx demonstrates the effectiveness of the actions we continue to take to reduce our infrastructure costs and reinvest some of the savings into R&D and growth initiatives. For FY16, G&A was down by 8% to 4.2% of sales, the lowest level in more than nine years. R&D increased by 5% and the R&D investments we’re making are in our belief more effective than ever because we have integrated design into our development projects, increasingly early as we have discussed several times. Moving on to cash flow, Q4 was another quarter of strong cash generation driven by effective management of our working capital. Our cash flow from operations for the quarter was $32 million, for FY16 we generated cash flow from operations of $183 million, slightly up over the prior year despite a significant negative impact from currency. Our strong cash position continues to be the foundation of our capital allocations strategy focused on small acquisition as a priority, such as Jaybird, annual dividends, and opportunistic share buybacks. As we shared at our analyst and investor day last month we plan to return a significant amount of cash to shareholders in the form of dividends and share repurchases. In FY16 we returned $156 million in total with $86 million in dividends and $70 million in buybacks, returning more than 100% of the free cash flow we generated during the year. Let me wrap up by adding a few comments on Jaybird, the new addition to the Logitech family. Our priority with Jaybird in FY17 will be to develop the portfolio and position it to drive top line growth in the years to come, targeting the growing wireless audio wearables market. We will invest in this business and manage at breakeven level on a non-GAAP basis in FY17 and as a result we do not expect it to have a mature impact on our FY17 outlook. We have a lot of work in front of us to capture our full market opportunity and we are excited by the momentum we have going in FY17. And on that note I’ll turn it back to Bracken.
Bracken Darrell: Thank you, Vincent. Fiscal year 2017 is year one for a new Logitech in an important way. For the first time in our history we’ve entered a new fiscal year with a sole focus on what we historical called the retail business. Many of you realize that this has been the only business ahead of us for several quarters with the exit of OEM and the spinoff of Lifesize. But now we’ll see it in the financials. Net future business grew 9% last year and we expect another year of growth ahead. Over the last several years we’ve built a solid foundation to support future growth. That growth will be driven by powerful design, revitalized product creation, entry into new categories, and outstanding execution. Even-centered design is at the heart of what we do now. And that’s not just our design team working in a studio. It’s the entire company working together to create a better experience through our physical products, combining them with the software and increasingly cloud connections. We’re organized and focused across all of our people to deliver excellence in execution. We talk about our financial progress. It’s been strong. We reference our market progress, gaining share in virtually every category now. That’s strong too. But the experts in design are also noticing. In Q4 we received impressive external recognition of our design achievements across multiple product categories. Eight of our products were selected as 2016 iF Design Award winners, with UE Roll awarded an iF Gold Award, iF Design’s highest honor. We broke our previous company record by winning nine Red Dot 2016 product design awards. The impact of great design and powerful innovation can be seen across our well-diversified portfolio, a portfolio that I believe has never been stronger. With the recent additions to our gaming lineup, we’re well positioned for continued growth and share gains. We continue to set the pace and define the parameters for affordable and easy to use video conferencing. Our UE lineup resonates with consumers and it’s strongly competitive at multiple price point, reflected by our continued share growth. And in our PC-related categories like mice and keyboards, we’re outperforming the market. Let me rephrase that. I believe we’re creating our own market, driving growth by refreshing old PCs with new peripherals. We’re focused going forward on five large multi-category markets – gaming, video collaboration, music, home control, and creativity and productivity. We see opportunities to deliver growth with products for all these markets. All of our product categories won’t grow at the same time or the same rate but the strength of our diverse product portfolio will support consistent growth. Great products along won’t drive sustained growth. Great products combined with operational excellence will. Outstanding execution was a key factor in exceeding our fiscal year 2016 outlook. Our execution was broad-based, making design central to what we do, rolling out the biggest brand transformation in our history, achieving our new product launch schedules, getting our products to our customers around the globe and optimizing shelf space, offsetting over half of the currency headwinds through great cost management and selective pricing moves, and reducing our absolute level spending while continuing to invest – in fact, investing more – in growth opportunities. All of those things made fiscal year 2016 a success. And we’re just getting started. That brings me to our outlook. We’re confirming the outlook for fiscal year 2017 that we shared just a few weeks ago at our analyst and investor day of $185 million to $200 million in non-GAAP operating income and constant currency retail sales growth in the mid-single digits. I’m very pleased with our results in fiscal year 2016 and with the progress we’re making. We’ve delivered our best constant currency growth rate in five years, we exceeded our sales and profitability targets. We continued strong cash generation. Our growth strategy is working and we’re focused on delivering more of the same in fiscal year 2017. You are just beginning to see what we can do in a world where everything will be connected. Imagine what we can be in a few years. With that, Vincent and I are available now to take your questions. Please follow the instructions of the operator as usual.
Operator: [Operator Instructions] And your first question this morning comes from the line of Felix Remmers from Credit Suisse. Your line is open.
Felix Remmers: Yes. Hi, everyone. Thanks for taking my questions. Actually I have three.
Vincent Pilette: Wow, Felix.
Felix Remmers: Yes. Can you hear me?
Vincent Pilette: Yes, perfectly.
Felix Remmers: Perfect, okay. On mobile speakers, I’m just wondering what makes you so confident that you will grow next year given the weak performance this quarter. Is it new products which you have in the pipeline? Is it the lower inventory levels? Or – I don’t know. Some more color on your confidence here? Then the second question was on restructuring costs. You booked another $3.7 million restructuring costs. What have you done there? What can you expect in terms of cost savings going forward here? And last one was on the mid-single digit growth outlook. Can you provide some more color on how you come up with that? I mean, I remember you always have been quite cautious on the PC peripherals business. Now it sounds like you’re a bit more optimistic. Does the guidance include some revenue contribution from new seeds? And also the Jaybird acquisition?
Vincent Pilette: Okay, those are lot of questions.
Bracken Darrell: Let me take one. Let’s start with restructuring. I’m going to let Vincent answer that one and then I’ll cover the other two.
Vincent Pilette: Felix, we booked the rest of the program we announced a year ago. A year ago we announced $15 million to $20 million exit of OEM and infrastructure restructuring that excluded Lifesize. We had indicated at the end of Q2 that as we believe we may have further cleanup of 10%. We’re now fully done and at this point in time we’re not planning restructuring going into FY17.
Bracken Darrell: Now, jumping to mobile speakers, your question was what gives us confidence we’re going to have growth next year. A couple of things. First of all, we continue to have growth through Q4 in our mobile speaker business. The underlying business continued to grow. We really adjusted the inventory levels, the channel inventory levels, as we went through to adjust to a lower growth rate. But we still had growth around the world and most of the impact was actually in the Americas. So, that’s the first point. The second point is we do feel very, very good about our lineup, our ability to drive market share and we certainly will be innovating through the year. So, you can expect more from us there. On your last question which was the mid-single digit growth, Vincent and I will probably do this one together. I think there’s a lot in there. I think as we look at the PC markets, the tablet markets, there’s a lot of reasons to view those markets pretty conservatively. As I said though, we continue to feel very strongly about the balance and the diversity of our portfolio and its ability to grow regardless of what happens in most markets. So, we feel good about it. How much of Jaybird is in? As we said, it was not material to our guidance. So, we didn’t reflect into that. We’re certainly excited about that business and the ability to grow it. And we always have new things baking in the back room and you can bet that we’re going to launch a lot of new items this year. You want to add anything, Vincent?
Vincent Pilette: Just one comment. In FY17 now we’re going to focus on looking at the Jaybird roadmap, the IP from our side, their strong technological portfolio and look at the product roadmap moving forward. We will invest in the business and if we end up paying the earn out, you know we have a two year structure, it should impact more materially in FY18. FY17 is really the launch year if you want.
Felix Remmers: Thank you. Maybe one follow-up on the last one. I mean, would you be comfortable to reach your guidance of the mid-single digit growth if your PC peripheral categories would be down like 5% on average?
Bracken Darrell: I believe – we’ve always said that we felt like we could grow in spite of what happens to PC peripherals. We’ve always taken a pretty conservative look at that. We still will take a conservative look at that. That said, to answer your question, it’s really interesting to see what’s happened over the last several years on keyboards and also this year on mice. And one of the conclusions we’ve drawn is as they lengthen the life of a PC on a desk extends, the value of a new peripheral goes up. So, we do believe there’s a way to grow that business and as long as we innovate carefully and well, we believe we can have a pretty good run in. But we don’t have big expectations on it going into the year.
Felix Remmers: Thanks very much.
Bracken Darrell: Thanks, Felix.
Operator: Your next question comes from the line of Joern Iffert from UBS. Your line is open.
Joern Iffert: Hello. Thanks for taking my questions. I’d like to start with what was your momentum starting into Q1? Are you happy? Are you seeing some particular weakness or strength? That’s question number one. Question number two, on your average price strategy there were some price hikes happening in 2016 fiscal year. You’re a market leader for keyboards and mice. Do you think it’s possible to squeeze that more in terms of average selling price this year, for fiscal year 2017, supporting the margins? Are you happy with the pricing strategy? And the last question, you were speaking about introducing new products. Can you actually share? And what could be the revenue contribution for fiscal year 2017 coming from your products and your budgets? Just to understand the guidance better. Thanks.
Vincent Pilette: Joern, let me take the first one quickly. The first three weeks of the year support the full year guidance we just gave you. As you know the sales out or sell through we reported was positive growth in Q4 for us across all three regions and including in our mobile speaker category. I would say the first weeks are in line to what we have seen in exiting Q4.
Bracken Darrell: And to take the other two, on the pricing and pricing strategy, you’re right. We took pricing last year. We mentioned it. It was great because we really learned how to take pricing in Europe and continued to demonstrate our ability to take pricing in Asia-Pacific where we’ve done it before. Going into this year I think we’re always looking for opportunities to improve price. The best opportunities when we launch a new product, you remember we launched our latest wireless gaming mouse at $150. So, you can bet that we’re going to take every opportunity to do that. When we take broader-based price increases, it depends on what happens to currency. We’ll have to wait and see on that one. What was the last question?
Joern Iffert: New product? You were saying you’re excited about the pipeline. What is roughly the revenue contribution we can assume to better understand your guidance?
Bracken Darrell: As you probably realize we don’t give guidance on what percentage of our growth will be driven through new products. What I can guide you on is I’m very excited about what we’re doing. I’m very excited for the portfolio we have and we’re going to have really good, exciting innovation in 2017 for sure.
Joern Iffert: Okay. Maybe then also a question for the next two years or three years on your products. When you started your job, in the meanwhile, in the last three years you’ve introduced products – new products, now accounting for around – I don’t know, 20%, 30% of sales? Is this the run rate we can expect also now for the next two to three years?
Bracken Darrell: I wouldn’t guide that far out anyway but what I can say is what we’ve done so far, you can expect more of in the future. I think our innovation engine is working extremely well, Joern, top to bottom. And if anything, we just broadening the capability and deepening it. So, I’m very optimistic about our ability to continue to launch new products and to continue to enter new categories.
Joern Iffert: All right, fine. Thanks very much.
Bracken Darrell: Thanks, Joern.
Operator: Your next question comes from the line of Andrew Humphrey from Morgan Stanley. Your lien is open.
Bracken Darrell: Hello, Andrew.
Andrew Humphrey: Hi there. Thanks for taking my questions. I have a couple, if I may. One is on mice and keyboards and the more PC-related businesses. You’ve called out that you’ve gained a couple of points of share at least in a bunch of markets. Could you highlight which of the regions where you’re doing better there, where you’re seeing the most strength? My second question is on cash. And it’s kind of a two-pronged question. You’ve obviously had a couple of very good quarters in terms of cash performance after there were – you saw some working capital outflows and a couple of things in the first part of the year. Can you talk about the likely pattern in terms of working capital over the course of this year to the extent you have visibility? And also I think you’ve said you have around $118 million of resources left for buyback. Anything more you’re planning on that front?
Bracken Darrell: Okay. I’ll take the first one and I’ll let Vincent handle the latter two. On the mice and keyboards, I won’t go through market by market or even region by region. What I can say is our mouse and keyboard business has been good around the world. It’s been a very broad-based – and I think that’s because around the world people are simply buying fewer PCs and the fewer PCs they buy, that means the longer the life of a PC on someone’s desk. Remember one thing, Andrew, the PC lifecycle is just stretching. What we see is an install base of PCs that look flat as a board which means most PCs are getting pretty old. And I guess it’s not too surprising that people are refreshing them. And that is very much a global reality. I’ll let Vincent answer your other two questions.
Vincent Pilette: And so, on cash performance, we generated cash from operations, $183 million, most of that was in the second half. You should always account for a first half that’s a little bit more cash consuming, or generating less cash, and then a second half that delivers the cash. And that’s as we prepare for the highest quarter of the year, Q3. Last year it was more pronounced because we also took some strategic actions to build cost savings such as reducing the air shipments and moving more to sea or moving more to in-house manufacturing. Those two strategic actions have been stable and I don’t expect major change. So, first half weaker, second half stronger, less pronounced than last year, but that’s always been the pattern. In terms of cash, we don’t guide on cash but I advise analysts that are modeling the business to model cash at around onetime non-GAAP operating profit and we’ve been slightly over that in the past years. In terms of the buyback, we still have the buyback open. You should continue to see U.S. buy back on an opportunistic basis and we’ll update you once the program is over. Then I’m sure the board will review the overall strategy and we’ll update you.
Andrew Humphrey: Great. Thank you.
Bracken Darrell: Thank you, Andrew.
Operator: Your next question comes from the line of Tavis McCourt from Raymond James. Your line is open.
Tavis McCourt: Hi, guys. Thanks for taking my question. First, a housekeeping one, Vincent. I just want of make sure I understood some of the commentary around gross margin for 2017. Basically better than 2016 but somewhere between 2016 and the 35% non-GAAP long-term guidance? Is that right?
Vincent Pilette: Yes. That’s correct. And there too we’ll move progressively through the year as we discussed at the analyst day. The first half will be weaker, especially Q1, as we have some special items in Q1 last year. So, there will be something that will course correct. But for the full year it will move up and get around 35%.
Tavis McCourt: Got it. And a couple more, on the Jaybird acquisition I understand it’s not meaningful to EPS. What category will you actually put those revenues in? Will that be mobile speakers? Or will that be audio PC and wearables?
Vincent Pilette: At this point in time in the audio PC and wearables. That’s where we’ll report in Q1 and as I said, we’ll focus on the portfolio, the roadmap, investments at a breakeven level and later on if it becomes bigger, maybe we’ll do something different.
Tavis McCourt: Great. And a couple of product questions. I guess this relates somewhat to Jaybird but also UE with the wearables business. I suspect we’re going to see a pretty big increase in the market for stereo Bluetooth headsets once the new iPhone comes out later this year. I guess is that something that you’ll look to attack aggressively with Jaybird and UE? Or will the Jaybird be specifically the brand for your headphone business? And then, Bracken, you specifically mentioned a large B2B deal I think in the webcam business. I think webcam, units were up 44% year over year so that must have been one heck of a deal. Maybe a little more detail on that? Thanks.
Bracken Darrell: Actually I’ll just answer that one first. That was not the entire growth. So, the business was still relatively flat which is good relative to past norms. There’s some good activity going. May have hit bottom on the core webcam category. As I said in the opening remarks, there’s a lot of things going on with video blogging and gaming and other things that are driving some stability in the business overall. That webcam deal, we are not predicting more in the future on that yet but there could be more to come and if there is we’ll be more specific on what it is.
Vincent Pilette: And if I can just clarify, for everybody to understand correctly, webcam units was up 44%, as you mentioned. The overall quarter was up 27%. The year was 7%. So, in line with the rest of the PC peripherals. You should see webcams more aligned to the rest of the PC SKUs.
Bracken Darrell: To address your other question, which is a good one, I guess you made an assumption that we don’t have any knowledge about anything that would come with the future iPhone, whether you would or wouldn’t need a Bluetooth earphone. But what I would say is we’re going to attack every opportunity we can in the Bluetooth earphone business over the next year and two and three. Right now we have one brand in that space. Certainly we’re going to hold our cards a little our cards a little closer to the vest on what we’ll do with the other brand, UE, on that. But let’s wait and see.
Tavis McCourt: Thanks a lot.
Bracken Darrell: Yes. Thanks, Tavis.
Operator: [Operator Instructions] And your next question comes from the line of Paul Coster from JPMorgan. Your line is open.
Bracken Darrell: Hi, Paul.
Vincent Pilette: Hi, Paul.
Paul Chung: Hi, this is Paul Chung on for Paul Coster. Thanks for taking my question. So, a question on pointing devices and keyboards. You saw growth there once again, more a function of install base. Can you talk about the competitive dynamic there? Who are you taking share from? Where does it stand? How are you winning this share? And finally do you think the firm can sustain the growth in fiscal year 2017?
Bracken Darrell: First of all, I want to thank you for having the same name as Paul so we never make a mistake. My middle name too by the way. So, to answer your question, who we’re taking from, it’s really pretty broad-based. We’re really just – it depends on the market around the world who’s losing or holding share. But generally I’d say it’s more about our innovation is appealing to existing users and in a way I almost don’t think of it as taking share although technically that’s what it is. I think of it as growing the attachment or the buyers, the number of buyers of a mouse and keyboard who have an existing PC that’s getting older. So, I’m really excited about what we’re doing there. I do think the overall innovation, the market around us has decreased and that means that our innovation is pretty lonely. And that’s been very good for us. But I wouldn’t interpret that necessarily as a share activity. I think it’s really about market potential.
Paul Chung: Okay. Thanks. And then switching to Jaybird, can you give us a sense of the margin profile, what kind of market share the firm has and a sense of the magnitude of revenues possibly?
Bracken Darrell: We haven’t really provided any of that yet publically. I mean, some of this you could find. I think at the end of the day you can bet that we wouldn’t be interested in it if we didn’t think the margin profile was in line with the kind of margin targets that we’re after. In terms of market share, whatever it is today, our goal of course will always be to try to increase it and even more important to broaden it around the world.
Paul Chung: Okay. I think Tavis touched on this before, but it seems like you’re taking advantage of these upcoming trends, whether it be a headphone jack being removed or – can you talk about any other target markets the firm is looking at, whether it be virtual reality or any emerging types of segments?
Bracken Darrell: First of all, we’re not relying on anything happening to a headphone jack at all. We’re interested in our Bluetooth earphone business because we think it’s a good opportunity for U.S.to play. In terms of other emerging realities, as I mentioned, we’re attacking five different large domains, music, gaming, video collaboration, smart home, creativity and productivity. All of those are multi-category markets. Some of those we play in – we don’t play in all of the categories of any of those. So, we have adjacent opportunities in all of those. And within all of those there’s also, as you’re suggesting, emerging categories that are going to come out. We’re working on exploring various spots within those markets. You mentioned virtual reality, augmented reality. I think we all believe that will be a really big long-term opportunity for lots of companies. We hope to be one of those but I don’t think that’s going to come for awhile, at least not to the point where it’s developed enough to be excited about short-term.
Paul Chung: Okay. And then finally on the Logitech Circle, how’s that product been performing? Has it grabbed some market share? Can you confirm the contribution of video collaboration?
Bracken Darrell: What I can say on that one is we love the product. Love it. And we continue to invest in innovating there. So, you’ll see more and more coming out to improve the experience. As you know, that’s a very small – the overall in-home video market is a very small market today. And we’re really just at the very early stages of it and we’re systematically expanding our footprint there and we’ll do that slowly. We’re also expanding our offering. We haven’t even had a recurring revenue offering for that just yet but you can bet that might come before too long. So, too early to say how big it will be for us and how long it will take but we’re excited about it and I think it will play a really important role in our smart home strategy.
Paul Chung: Okay. Thanks. And last, housekeeping, do you expect any ongoing litigation costs in fiscal year 2017?
Bracken Darrell: No. We don’t. It’s interesting. Some of you may have seen the different things, the different calls from different law firms right after we saw the FCC. A couple of points on that I’ll make. First, the FCC settlement was already public and the amount that we’d accrued and just finalized it. It’s great to have that behind us. The various things, we don’t expect any significant litigation costs for those at all.
Paul Chung: Okay, great. Thanks.
Bracken Darrell: Alright, thank you. Thanks, Paul.
Operator: Your next question comes from the line of Rob Cihra from Sterne, Agee. Your line is open.
Rob Cihra: Great. Thanks very much for taking my question. On mobile speakers, just a couple more questions if that’s all right. One being pricing – just pricing’s actually looked a little more aggressive lately. Just wondering if you see that as a sign of things to come, how you feel about your price points here? And then secondly, just specifically for the quarter, any more color in terms of maybe what your sell through will look like there versus your reported selling, just to get a sense of how much of that was inventory drawdown versus what the end market demands still look like? Thanks.
Bracken Darrell: Let me answer the first one, Rob, and then I’ll let Vincent answer the second one. On the pricing, I think like all the markets we’re in, they’re all competitive. So, you always have pricing activity and promotions and things. Around the world it’s a little hard to see exactly where the prices are at any given point in time. But I think it will be a price competitive market. We’ve got terrific innovation there and so we ought to be able to play at the top end of that market and that’s our intention.
Vincent Pilette: Rob, on a central basis, for mobile speaker, we don’t break it – but I think it’s an important data point. We saw for the quarter sell through, the sales of it, plus 10% global basis. In the past we’ve seen growth in the range of 30% to 40%, sometimes 50%. And then in March we mentioned a slowdown in the market and a market that would still grow but at a lower level. This quarter we positioned our selling to make sure that we have optimized channels going into our lower market.
Rob Cihra: Do you think that 10% selling growth, if you had – I know things are dynamic but if you have to guess, do you think that’s the growth rate at the market at this stage?
Vincent Pilette: Yes, at this point in time, we guided in March, the market as we saw it, around 10% to 15%. We don’t have new data points that would lead to a change in our view at this point in time.
Rob Cihra: Great. Thanks very much.
Bracken Darrell: Thanks, Rob.
Operator: Your next question comes from line of Michael Foeth from Bank Vontobel, Bank Vontobel. Your line is open.
Bracken Darrell: Hi, Michael.
Michael Foeth: Hi. Actually you just answered my questions regarding sell through on mobile speakers and the market growth. And just one detail I want to make sure I’m getting right here. Jaybird, you’re planning to maintain the jaybird brand separately from the UE brand? Is that correct?
Bracken Darrell: That is correct. They’ve done a great job of building a brand that’s narrowly positioned for exercise and especially outdoor and we’re absolutely going to keep that in place.
Michael Foeth: Okay. Thank you. And maybe just one add on, on the mobile speakers in terms of the competitive landscape. Obviously it’s a very crowded market you’ve been playing in very well. Do these new speakers, Amazon Echo, for example, are you seeing – we see more and more speakers which have the same form factor as you. So, you were sort of a trendsetter there. But are you seeing that competitive landscape significantly changing and seeing more pressure on your position basically?
Bracken Darrell: I think the Amazon Echo story is a great one and I think it’s competitive but it’s also complimentary. I think over time you’ll – we’re certainly continuing to innovate in the space and you can expect more from U.S. there. But it’s exciting. There’s a lot going on. And as you said, it’s really exciting that the form factor that we created in this category has become a standard and that means that we have to continue to innovate and you can stay tuned because we certainly will.
Michael Foeth: Excellent. Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Andreas Mueller from Zurcher Kantonalbank. Your line is open.
Bracken Darrell: Hi, Andreas.
Andreas Mueller: Hello. Thank you for taking my question. Just around wireless speakers again, I was wondering in the U.S. why does this – this difference between U.S. and the rest of the world where the inventory is tied in the U.S. or is the rest of the world just growing faster? And if yes, why was that such a slowdown in the U.S.? Or do you expect such a slowdown in the U.S. for wireless speakers relative to other regions?
Bracken Darrell: I think there are a couple of things there, Andreas. First of all, it wasn’t just the U.S. You had some adjustment in the mobile speakers around the world. A lot of that, some of that’s driven by the fact that the wireless speaker has a very Q3, our Q3, skew. So, you have a really strong sell in Q3. What does or doesn’t sell winds up being there in Q4. So, you have an adjustment factor. So, I’d say that’s the big factor. It is bigger. It certainly is bigger in the U.S. And the reason for that is our business is more developed in the U.S. because the Bluetooth speaker market is more developed in the U.S. We also have penetration into more place, more telecos for example. I think it’s just a more mature market there.
Andreas Mueller: Okay. Then on the Jaybird, I was wondering, the wristband, how important is that for you strategically? It’s basically fitness and health. Could that be developed as well besides the earphones?
Bracken Darrell: I wouldn’t read too much into the wristband. It was a very tiny business for the Jaybird team and I just wouldn’t read too much into that. We’re really excited about the earphone business and that’s our focus.
Andreas Mueller: Okay, thank you.
Operator: Your next question comes from the line of Gunther Hollfelder from Baader. Your line is open.
Gunther Hollfelder: Thank you. It’s actually Baader-Helvea. I had just a follow up question also on the mobile speaker business and the Amazon offering. First, don’t you think that the situation in the U.S., when you’re saying the inventory reduction was mainly in the U.S., that Amazon might have an impact here with the Echo offering? Which is not the case in other countries today. And on the other hand if you said – you said, I mean, this could also be an opportunity for you guys. Would it be, for example, an option to license the voice service from Emerson, using it in your mobile speakers, for example, with the additional content?
Bracken Darrell: I wouldn’t have a discussion for you about future products or future benefits or future – that we might sell. In terms of the Amazon effect, yes, Amazon is in the U.S. The U.S. effect – I’m sure it did have some effect on the mobile Bluetooth speaker category. I would say that’s certainly true. And as we go forward we’re really looking hard at what innovation we need to make sure we can play well no matter where we are in the world, in a world where there are personal systems in play.
Gunther Hollfelder: Thank you.
Bracken Darrell: Thank you.
Operator: It appears that there are no further questions in queue at this time so I’ll turn the call back over to Mr. Darrell for closing remarks.
Bracken Darrell: Thank you so much. We’re really excited about the year we just had and I can still remember this call about three years ago and I remember being pretty nervous and very excited about the next three years to come. I’m a lot more excited now than I was then and not nervous. I think a great team, we’ve got a great portfolio, our lineup is very diversified. We’ve demonstrated we can execute. And I think the next year and then the years after that are going to be very exciting for Logitech and I hope you’ll be along on every one of these calls with just as many questions and we’ll be ready to answer them. Thank you.
Operator: That concludes our conference call for today. You may all now disconnect. Thank you.